Andrew Mackenzie: Okay. Well, welcome to our interim results. I'm speaking to you here in Melbourne, which is the first time at our new global head office. And Graham Kerr, somewhere, joins us from London. Other members from the GMC are here or have joined by telephone. Now first, let me point you to the disclaimer and remind you of its importance to this presentation. I'll now provide you with an overview of the last 6 months. Graham will then take you through our detailed financial performance, and I'll discuss how our focus on productivity has increased return on capital in a sustainable way. I'll also cover how our continued focus on our major resource basins will further differentiate us. Our commitment to produce more tons and more barrels from existing infrastructure at lower cost is delivering. We've achieved an increase in production of 10%. We've embedded productivity-led volume and cost efficiencies of $4.9 billion. Full year capital and exploration expenditure is expected to decline by 25%, and this sharp reduction has increased competition for capital and driven investment returns higher. At the period end, our net debt position was $27.1 billion. Our solid A balance sheet is strong. We've delivered substantial growth in free cash flow, but there is more that can and will be done to maximize the value of our high-quality portfolio so as to consistently grow shareholder returns. Our people are the foundation of our success, so their health and safety must come first. Safety continues to improve, and this is demonstrated by a reduction in our total recordable injury frequency rate to 4.4 for every 1 million hours worked. This is a record low for our company. And as we strive to create an environment free from illness, we will not become complacent. We must identify, understand and manage the material risks within our business to make sure our people and the communities in which we operate are safe. First half financial performance benefited from a substantial improvement in productivity and from the volume growth delivered by our largely low-risk brownfield investment program. Underlying EBITDA increased by 16%, underlying EBIT by 15% to $12.4 billion. Underlying attributable profit increased by 31% to $7.8 billion. And net operating cash flow increased by 7 -- 65% to $11.9 billion. Free cash flow has grown by $7.8 billion. Our disciplined approach to investment has increased our underlying return on capital to 22%. Our interim base dividend is comfortably covered by our internal cash flow. By the end of the financial year, our net debt of $27.1 billion is expected to approach $25 billion. We are well placed to extend our strong track record of capital management. We delivered record production at 10 operations for 3 commodities. For the half year, our Western Australia Iron Ore business produced a record 108 million tonnes. Alloy production from Jimblebar and volume-led productivity initiatives, including the use of relocatable crushers, contributed to this result. As a consequence, we've already increased our full year guidance for iron ore to 212 million tonnes. The best example of our productivity agenda in action was at our Queensland Coal business. In the December quarter, it ran at an annualized rate of 68 million tonnes. This is an outstanding result, given that Daunia is not yet fully ramped up and that we removed 7 million tonnes of production -- high-cost production, when we closed Norwich Park and the Gregory open cut. Copper production grew by 6%. Antamina achieved record copper volumes. And Escondida, our leading copper asset, increased production by 7%. And in the 2014 financial year, Escondida remains on track to produce 1.1 million tonnes. In our Petroleum business, liquid volumes increased by 9% to 50 million barrels, and this includes an increase in Onshore US liquids of 72%. Because we prioritize drilling away from predominantly gas areas towards the high-return, liquids-rich, Black Hawk region of the Eagle Ford, gas declined by 7%. We have retained full year production guidance for all our major commodities: Iron ore, of 192 million tonnes, our share; petroleum, of 250 million barrels of oil equivalent; metallurgical coal, of 41 million tons; energy coal, of 73 million tonnes; and copper, of 1.7 million tonnes. We project that over the 2 years to the end of the 2015 financial year, our low-risk, largely brownfield projects and productivity-led gains will deliver production growth of 16%. I'm sure you'll agree this is a very strong set of half year results. I'd like Graham now to talk to you in more detail. Welcome, Graham.
Graham Kerr: Thank you, Andrew. It's a pleasure to be here in London to present our financial results for the December 2013 half year. As Andrew mentioned, the group's strong operating performance and productivity-led gains underpinned the significant increase in profitability, and we have remained disciplined. Our dividend is now comfortably covered by free cash flow, our solid A balance sheet remains strong, and importantly, the outlook for our business and our shareholders is exciting. In order to summarize our financial performance, I would like to focus on 5 areas. First, the identification of specific items in our accounts to help you with your analysis; then, our usual earnings waterfall analysis; also, the substantial cost and volume efficiencies that we've embedded over the past 18 months; and our capital allocation framework that is applied within the context of our value-maximizing strategy; lastly, our determination to strike the right balance between selective investment in our high-quality portfolio and a commitment to extend our strong track record of capital management. I would like to remind you that our results have been reported on the basis of new accounting and standards interpretations that came into effect from the 1st of July 2013. Our accounts now include the full consolidation of Escondida, whereas, we previously consolidated our 57.5% equity interest. Entities that no longer meet the definition of joint control, such as Antamina and Cerrejon Coal, or those that are classified as joint ventures such as Samarco, are now equity accounting. IFRIC 20 also required a change in the accounting treatment of production stripping. In every period, a number of items affect the underlying financial performance of our business. As you can see, costs in our Petroleum business were elevated because of 3 specific charges. At Onshore U.S., we optimized our drilling program to focus on our Black Hawk acreage. The associated termination of rig contracts reduced underlying EBIT by $75 million. In turn, the group also incurred a $103 million charge for underutilized legacy gas pipeline capacity, primarily in the Haynesville. Petroleum also recorded a $115 million charge associated with its U.K. pension plan. These charges were offset by the restatement of monetary items in the balance sheet, which increased underlying EBIT by $345 million. You may recall, our functional currency requires us to take mark-to-market differences from monetary items through the profit and loss statement. Now turning to taxation. We paid $2.9 billion of income- and royalty-related taxation and $1.4 billion of other production royalties during the period. The group suggested effective tax rate was 32.5%. This rate is expected to remain in the range of 31% to 34% for the 2014 financial year. As illustrated on this slide, the remeasurement of deferred tax assets associated with the mineral's resources rent tax reduced the group's statutory tax expense by $491 million. I will now turn to our strong financial result. Underlying EBIT for the December 2013 half year increased by 15% to $12.4 billion. This increase in profitability was largely driven by factors within our control. Production growth associated with the ramp up of major projects and the continued success of our productivity agenda increased underlying EBIT by $2.2 billion. In contrast, the relief that we received as a stubbornly high Australian dollar weakened against the greenback was largely offset by lower commodity prices and inflation. For instance, lower prices for each of the major metals -- copper, nickel, and aluminium -- reduced underlying EBIT by $937 million. A strong rebound in metallurgical coal supply lead to an 18% fall in our average realized price, and this reduced underlying EBIT by $520 million. Strong growth in China's crude steel production was underpinned by a significant increase in fixed asset investment, and this created unexpected tightness in the seaborne iron ore market despite the addition of low-cost supply from Australia and Brazil. So as a result, iron ore prices increased underlying EBIT by $964 million. Within our Petroleum business, a 5% increase in the average realized price of natural gas offset a 2% reduction in the average price of both oil and liquefied natural gas. Now I will focus on the factors within our control: Volume and costs. As Andrew mentioned, production records at 10 of our operations contributed to a 10% increase in copper equivalent production. The ramp-up of several major projects and strong growth in liquids production from Atlantis, in particular, also increased underlying EBIT by $705 million. The early delivery of production from our new Jimblebar iron ore mine, the commencement of metallurgical coal production at Daunia and the completion of the Macedon Gas Project were notable achievements during the period. Now moving to productivity. After almost a decade of strong growth in demand and margin expansion, we recognize that value is being eroded by broad-based industry inflation and low productivity. And we decided to take a hard line on all facets of our cost base. This disciplined approach delivered cost and volume efficiencies of $2.7 billion and $1 billion respectively last year. And we ended the period with strong momentum. As you can see on our waterfall chart, our productivity agenda increased underlying EBIT by $1.5 billion during the period. Volume-related efficiencies increased underlying EBIT by $542 million, as several de-bottlenecking initiatives in the Pilbara added valuable tonnes at one of our highest-margin operations. In addition, controllable cash costs declined by $1 billion in the period. Improved equipment utilization and availability, an increase in the proportion of planned versus unplanned maintenance and the continued optimization of our contractor activities were important contributors to this strong result. While these metrics relate to half yearly variance analysis, I now want to discuss the productivity-led gains embedded over the 18 months period since the end of the 2012 financial year. On this slide, we have defined 3 broad categories to describe our achievements in a simple waterfall chart. As you can see, sustainable operating cost efficiencies for $1.8 billion, a $1.6 billion reduction in exploration and business development expenditure and productivity-led volume efficiencies of $1.5 billion have now been embedded. While Andrew will discuss productivity in more detail shortly, I can confirm that this sustainable $4.9 billion gain is expected to grow to $5.5 billion by the end of our 2014 financial year. This includes a projected $3.9 billion in productivity-led cost efficiencies and reduced exploration and business development expenditure. This is a significant 11% of the $36 billion baseline operating costs we reported in the 2012 financial year. Our strategy has worked well for our company and for our shareholders. This remains our platform for success. The quality of our assets and adherence to this strategy will differentiate our performance, and we will maximize shareholder returns by allocating capital in a disciplined manner. The company's success can be measured in many ways and judged on the basis of multiple criteria. The ability to generate value and return capital is a great place to start. Over the last 10 years, BHP Billiton returned $62 billion to shareholders. While we don't target a specific payout ratio, this equates to approximately 50% of underlying earnings over the period. The company's more diversified and higher-margin portfolio delivers a high return on capital with lower volatility when compared with peers. So as a result, we have been able to return substantially more capital to shareholders. Let's now look at the factors that influenced our decision making. We remain committed to our solid A credit rating. It provides substantial flexibility and access to debt capital markets at attractive rates throughout the economic cycle. In this context, we are in a strong financial position. Net operating cash flow increased by 65% during the period. We received divestment proceeds of $2.2 billion, and net debt declined by 6% to $27.1 billion. Should the external environment remains supportive, net debt is expected to approach $25 billion by the end of the financial year. In the period, we further optimized our debt maturity profile with the issuance of a 4-tranche $5 billion U.S. bond. These funds and capacity on the balance sheet will be used to make a series of financing commitments in the second half of the financial year. For example, the redemption of Petrohawk Energy Corporation's senior notes just completed and upcoming debt maturities. Our progressive base dividend is the minimum annual distribution that our shareholders should expect. It is comfortably funded by internal cash flow, and it is expected to grow broadly in accordance with the growth of our business. It is being maintained across several economic cycles, and distributions have increased at a compound annual growth rate of 17% for a total distribution of $39 billion over the last 10 years. A half year dividend of $0.59 per share was unchanged from last year's final payment, consistent with recent practice. We will consider the trajectory of our progressive base dividend at the end of the 2014 financial year. Now let's talk about investment. We will continue to invest selectively in those projects that meet our demanding criteria. Our capital and exploration expenditure were reduced by 25% this year, and a further reduction is expected again next year. By reducing annual expenditure, we are more focused, and we are driving returns higher. We also delivered on another major commitment, as free cash flow increased by $7.8 billion during the period. As many of you know, in the past, we supplemented our progressive base dividend by returning excess capital to shareholders. In fact, we returned $23 billion in the form of buybacks during the last 10 years, which is almost 40% of total capital returned. With strong free cash flow being generated by the business, production growth of 16% projected over 2 years and further simplification of the portfolio planned, we are well placed to extend our strong track record of capital management. To summarize, we have 4 broad buckets to which we direct our cash flow. Our solid A balance sheet, our progressive base dividend, selective investment in our portfolio, and when in surplus, additional capital returns to shareholders. Many of these options are clearly interconnected. So how do we make critical capital allocation decisions? In simple terms, we test each decision against a range of short- and long-term criteria across several scenarios. Amongst other things, we aim to optimize for net present value, return on capital through the cycle, IRR and margin, whilst remaining mindful of portfolio construction and cash flow at risk. No single metric dominates the process, and alternatives, including an investment in our own shares, actively compete. Let's look at how this works in practice. Our opportunity-rich portfolio remains a key point of difference. By reducing annual expenditure, we have sharpened our focus on our core commodities and our high-margin businesses. Fewer projects now pass through our toll gates, design inefficiencies are exposed and re-engineered, and this has raised the bar and lowered capital intensity. As a result, you can see that the average rate of return for our favored major growth projects has increased. Increased to the point where an average ungeared after-tax rate of return of more than 20% is achievable. We also consider the value of future options very carefully as we must preserve their value at low cost. Our long-life orebodies are predominantly located the in OECD. This combination allows us to defer investment where appropriate, so that we can optimize performance on the basis of our investment criteria. Now in conclusion, we have delivered a significant increase in free cash flow. Our capital and exploration expenditure will decline by 25% this year as planned. And average ungeared after-tax rate of return of more than 20% is achievable for our favored major growth projects. Our progressive base dividend is comfortably covered by free cash flow. Continued simplification of the portfolio will further strengthen our balance sheet. Net debt of $27.1 billion is expected to approach $25 billion by the end of this financial year. And with strong free cash flow, selective investment and continued simplification, we are well placed to extend our strong track record of capital management. With that, I will hand back to Andrew.
Andrew Mackenzie: Thank you, Graham. It states in our charter that we are successful when our people start each day with a sense of purpose and end each day with a sense of accomplishment. There is no better illustration of this than the company-wide adoption of our productivity agenda, which is now fully underway. It's our responsibility as management to provide the necessary tools and support so that our people feel empowered to identify, implement the many improvements that maximize the value of our high-quality orebodies. Our commitment to improve productivity across the organization has the potential to create more value than anything else we do, so we're working our assets harder to generate additional value and to lower costs. Our many actions are individually tailored to the different opportunities and challenges at each of our operations. At our briefing in December, we described how our teams benchmarked the fastest drilling times for individual well segments. And this work has now reduced the days to drill a typical Black Hawk well by 35%. At our Queensland Coal mines, the truck fleet in the pre-strip operations is the bottleneck. And over the past 18 months, the teams there have worked through less downtime on shift change, input refueling and better planning, and so increased truck performance by an impressive 40%. At Western Australia Iron Ore, the bottleneck was at the mines. And our no-cost and low-cost de-bottlenecking will now move it to the port. By increasing throughput and improving reliability, we have raised the overall performance of the mines' ore-handling plants by 4%. With an EBIT margin of 57%, every additional tonne produced from existing infrastructure like this creates significant new value for our shareholders. The ultimate benefit of our productivity agenda will be measured in dollars and cents. And for our coal business, this translates to cost efficiencies of $1.7 billion. This has significantly increased our return on net operating assets. I recognize, however, that a 7% return on our coal business is just not acceptable. Coal will not receive another major investment beyond the projects and execution until we see a marked improvement in those returns. At Western Australia Iron Ore, our productivity agenda, as you've heard, is in full swing. We're focused on costs but recognize that the addition of high-margin volume at low cost can create substantial value. So we installed relocatable crushers, despite the increase in operating costs, so as to increase our volumes. Our productivity agenda has delivered an increase in return on net operating assets, which is a true measure of our capital efficiency. While we're committed to drive down costs in iron ore, as in coal, iron ore's 57% return means we should invest in such low-cost opportunities that add such valuable tons. To repeat, not all businesses are the same. And our productivity initiatives must reflect the context in which we operate in order to generate the best overall result for our shareholders. At the group level, the success of our productivity agenda is ultimately reflected in our underlying return on capital, which has risen to a competitive 22%. Further discipline and the completion of several major projects will continue to increase these returns further. So let me now turn to our outlook for the global economy. Global economic conditions improved over the first half of the 2014 financial year. The stronger-than-expected performance of major developed economies means that the uncertainty in outlook is now, if anything, skewed to the upside. The U.S. economy accelerated as housing and manufacturing sectors improved, unemployment declined, and confidence and consumption grew. Europe has experienced a period of relative stability. Conditions for copper investments have become better, and growth is now likely to reemerge. We, however, remain cautious, since underlying debt and economic imbalances are yet to be fully resolved. China remains the primary driver of demand. In the 2013 calendar year, its rate of growth has stabilized but still remains strong. It's expected to remain above 7%. The government continues with its reform agenda, which will move China towards a mature consumption-led economy. There are some indications on this on the bottom right-hand side of the slide. Over the next 15 years, we expect the demand for our core products to rise by up to 75%. Each commodity is, however, different. For example, in iron ore, we expect significant growth in low-cost supply that will exceed increases in demand from China and elsewhere. The cost curve, as you see, will flatten, as higher-cost margin supply is displaced, and this will lead to lower prices and lower volatility. In the near term, copper inventories are expected to remain at reasonable levels. But in contrast to iron ore, the long-term fundamentals are attractive. Rising strip ratios and grade decline and the lack of high-quality opportunities ready for development now will steepen the cost curve. To allocate capital, we used our well researched and strong view for each of our core commodities. Now as you can see on this slide, over the last 5 years, we steadily shifted investment towards high-margin iron ore, copper and petroleum projects. At Western Australian Iron Ore, after a decade of investment in major infrastructure, our emphasis has now moved to low-cost expansion to 270 million tons. Given our confidence in the outlook for copper, we continue to invest in high-return projects at Escondida that will maintain production at elevated rates. Similarly, in Petroleum, we're increasing our investment primarily in our high-return Black Hawk acreage as well as in the development of low-risk growth new [ph] opportunities that maximizes the value of our conventional business. These shifts in how we allocate capital are aligned with our commitment to maximize shareholder value. We will continue to demonstrate a superior ability to discover, develop and operate large-scale low-cost orebodies in order to meet the world's requirements for decades. We will deliver products safely and sustainably at the lowest possible cost so as to maximize the benefit to local communities, broader society, and, above all, our shareholders. More competition for capital has boosted the returns of our major projects -- our preferred major projects. The range and quality of our portfolio make all this possible. We have more choice than anyone else to direct capital to the most appropriate returns across steelmaking, materials, metals, energy and food. We're the only company with exposure to all energy commodities -- oil, gas, coal and uranium -- as well as to the metals used in renewables and energy infrastructure, most importantly, copper. So this positions us very well to respond as the world makes its energy choices. We will focus our efforts with greater force on fewer basins, on those basins where we can generate our highest margins and greatest value: iron ore in the Pilbara, metallurgical coal in the Bowen basin, copper at Escondida and the Andean copper belt, Petroleum in the U.S., and potash in Saskatchewan. We aspire to be recognized as much for our best-in-class operating performance and developments as for our great orebodies. Our unique, simple, yet diversified footprint will accelerate our journey towards best-in-class performance. Greater focus will lead to lower capital expenditure and more selective investment. A simplified portfolio and largely brownfield opportunities will generate higher rates of growth, superior returns on investment and stronger free cash flow. This will strengthen our differentiated offer of strong growth in both capital and capital returns. They're not mutually exclusive, and we must get this balance right. We have delivered strong production growth and productivity gains of $4.9 billion while continuing to improve safety. We acted early to significantly reduce our capital spend. This has increased internal competition for capital and raised the average return of our major preferred projects to over 20%. The group's continued pursuit of productivity combined with further simplification of the portfolio will sustain strong margins and deliver more free cash flow. Thank you. So I'd now like to take your questions. I'm going to start here in Melbourne, and then we'll move to the phone lines.
Craig Sainsbury: Good morning, Andrew. Craig Sainsbury here from Goldman Sachs. Productivity, very impressive numbers that you've delivered. So 2 questions there from me. One is just how far do you think we are through the productivity cycle for you -- or how much more do you think you can sort of drive out of these assets over the next 2 or 3 years? And the second question, maybe just looking at some of the ramifications that can come out into the market from those productivity guidance, when you point towards better returns, costs are down 11%, flattening of cost curves, and we'd certainly say in the coking coal market, you still stay profitable with costs coming down but that's driven the coking coal price down. So where do you see the ramifications are going to be in terms of longer-term commodity prices from this productivity-led cycle that you're embarking upon and some of your peers out there? And has that forced you to sort of start to think about changing some of your medium- to longer-term commodity price tags because of those productivity gains you've been driving through the business?
Andrew Mackenzie: Well, Craig, we'll review our price tags during the course of the next few months as part of the planning exercise that we report some of the results over the full year. So we'll certainly take account of that. But of course, as much will depend on what our peers are doing as what we are doing. And we do think that what we're doing is quite distinctive, that we have actually grown returns at a time of, broadly speaking, flat to slightly falling prices, if you look at our whole basket. And as we look forward, we've given you the guidance that we'll embed, a, if you like, a further $600 million by the end of the year. And most of that's cost out to get to $5.5 billion. This is about the whole culture of the company, about how we look at it and how we simplify our focus. I think there's a lot more to go, but my message has always been... I'll give a little bit of indication as to how you can extrapolate. But we're learning as we go. We're ambitious. And I stick with my mantra of "track us, don't trust us." But it's exciting the possibilities that we see going forward. And we're more than -- we're just getting started, and I think there's a lot more to come.
Craig Campbell: Andrew, Craig Campbell, Northcape Capital. Question relating to coking coal. Unfortunately, it is one of the weaker aspects of the result and probably one of the weakest results we've seen out of coking coal for a while where there hasn't been weather-related events or anything like that impacting. And I'm just wondering, given the surplus in the market, and it doesn't look like backing off, would you approach a strategy that was undertaken by BHP in the early 2000s in copper where BHP took an industry-leading position, backed off copper production when there was a very high amount of surplus coking coal prices -- sorry, copper prices were at their weakest point. Could you back off maybe your coking coal production to bring the market back to balance and push prices back up and get a better return that way as a strategy? And the second question from me. With regard to noncore assets, particularly in Petroleum, I imagine given the strength of petroleum prices globally at the moment, you could probably relate some capital through sale of those noncore assets. Is that something that's being actively explored at the moment, and we could expect some release of capital through that?
Andrew Mackenzie: Okay. First of all, to your question on metallurgical coal, it is not our policy to adjust production in order to achieve price results. Once we've installed something, we believe in this as a productivity and stability and our support of open markets, and to satisfy our customers that we maximize production. Of course, as you've heard me talking about it, because of the margins in coking coal and the returns, we're unlikely to invest in further increases in production, but we'll complete those underway, and we'll ramp them up to the maximum extent possible. I don't have quite such a negative outlook going forward. I would like you to think more positively about our results. I mean, we've pulled out a substantial number of costs. And Brendan [ph] is behind you, and he can give you a lot of details about that, but I think has moved us off -- up considerably. There has been a lot of recovery in the market -- or in the production I should say, from Australia because of the recovery from things like floods. That's coming to an end. And as we look forward, there's less growth in the next few periods. We've seen some announcements just overnight about some of the cost challenges that we've faced [ph] from competition in North America. Some evidence of that slowing. The pickup in markets, particularly in the developed economies and the growth in their demand for steel will almost certainly benefit metallurgical coal. And we started to see some quite good steel numbers coming out of India, which in the long term has no metallurgical coal and will have to import. We think, under those scenarios, we've got the best base in the world. We've got the best quality of higher coking coal, and we'll continue with our productivity agenda to open up even bigger margins and allow us to make decent numbers even at these prices, so waiting for the long term. I think on assets and Petroleum assets, you've heard my mantra on focus. That focus is partly on our core basins, but it's also on tier oneness. So anything that we have out there that we feel does not pass a very high challenge to be tier one, clearly, we look at where the other people may be better at owning that and would pay us a decent return for that. Especially if it is something that is undeveloped, and we don't think we're going to develop for a while. So we're looking at all of those things. But until I'm much closer or have concluded a transaction, I can't say anymore today. I think we should take the first question from the phone.
Operator: Your first question comes from Paul Young from Deutsche Bank.
Paul Young: It's good to see the comments on the plus 20% project return target...
Andrew Mackenzie: Paul, could you maybe speak up a bit. We're not hearing you very well here in Melbourne.
Paul Young: Great to see the comments on the plus 20% project return target. But I do know that's an average. But perhaps a question about your high return in copper projects. There appears to be the potential for production for price over the medium term. And just some more information on that. The Escondida OGP1 project appears to be 6 months early. Considering it was 60% employed at the end of December, in my view it's mainly [ph], Los Colorados concentrator could be run parallel with OGP1 for a period of time, and also the big coke construction teams could be rolled on for the Spence Hypogene projects, has been as early 2015. Can you comment on the timing of -- if you want to -- could we see the decision on spends this year?
Andrew Mackenzie: It sound like you've spoken to somebody who used to work at Escondida. You have all the details there. Look, Paul, I think on the first question about the Los Colorados concentrator and whether we would continue to run that in parallel with the new concentrator OGP1. Sure, that's an option. You wouldn't have a productivity agenda like ours with not wanting to look at that. We certainly, from the investments that you know we're making in power and in water, have more than sufficient to run 3 concentrators. The considerations that we have to bring to bear, though, before we make that decision is, clearly, we'd be moving a lot more dirt and that means a lot more tracks. Can we do this optimally and safely is kind of a point one. And second, as you know, the Los Colorados concentrator sits on top of some quite high-grade ore. And although we can nibble around it and look at some of the pushbacks and so on, the delay in getting to that is something we have to look at in a value sense. But I can assure you that's an option as part of productivity that we take very seriously indeed, and it's certainly feasible. I think as to what we might do with the project team at OGP1 and whether they go forward, really we only have one project team in base metals. That's the one area where we do everything centrally in a hub for all our copper assets, and absolutely a prime candidate for possible further investment beyond OGP1 is the Spence Hypogene. And certainly, I would expect us to say a bit more about that in the coming months, possibly at the end of the financial year. Because as you are aware from the visits there, It is a reasonably high-return project. It's got even better through some of the things we've spoken about and would certainly fit within our desire to drive a basket of projects into IRRs north of 20%. Maybe another one from the phone, then we'll take one from here.
Operator: Your next question comes from the line of Claire [ph] Wilkins from Citi.
Clarke Wilkins: It's Clarke Wilkins here. Listen, just in terms of the capital management side, is there -- sort of the targets are getting the net debt down to before -- back on the gender [ph]. And also, in terms of the format or the form for capital returns in the future is, is their preference at the board level between buybacks versus special dividends and make business like that for returning excess capital?
Andrew Mackenzie: Clarke, the important thing we have to do is that we have to get to a point where we feel our balance sheet is robust, and robust at a solid A. And then everything that you then talk about has to be debated about the board. These are board decisions, and they're decisions that will be made when we're ready to consider them in a deep way. And we certainly not really debated the form of additional, if you like, cash distributions to shareholders if the board then decides to do that. Clearly, the time for that as we've said and has been in general our practice, is at the full year, and hopefully, by then we're at the debt -- levels of debt that we're targeting, and those conversations will be real, and we'll give you the feedback on them. Maybe I'll take one more from the phone, and then... because there's a lot waiting. So, go ahead. It's Lyndon, I think.
Operator: Your next question comes from the line of Lyndon Fagan from JPMorgan.
Lyndon Fagan: Look, my questions are on the Iron Ore division. I guess at the core delay [ph], we found out that strip ratios had risen, and I'm just wondering if you can perhaps give us some more color around that, perhaps what are they, and how long will they stay high, or is this a permanent shift upwards or just related to the mobile crushers just to help us, I guess, extrapolate that out. And then the next question is that there is certainly a lot of promotion around moving to 270 million tonnes in iron ore, which has been the case now for well over a year, and I'm just wondering when we're likely to see some more project approvals, or now that the port's the bottleneck, I guess, just to get a feel for the timing of that production coming on?
Andrew Mackenzie: Lyndon, I don't exactly know where the kind of the further development of the strip ratios -- and not just at Jimblebar, but also at Whaleback that you're referring to. But I think through the detail of presentations, even though we've incurred slightly higher strip ratios, given the kind of returns we get in this business, it was worth continuing in those directions in the mining sense. Later this year, we are having an investor tour to the Pilbara, and I'm sure we'll be able to unpack that for you in quite a lot more detail. As regards to journey to 270 million tonnes, we're doing so well with productivity. As we talk about the sort of no-cost, low-cost de-bottlenecks, a lot of these things are passing through without us having to make announcements. We talked about renewing 2 of the oldest ship-loaders in the port partly for operational integrity reasons, but it also lifts a little bit of the production from that port as well. The more we can do that way, the higher the capital efficiency of moving to 270 million tonnes. And we're taking our time. But as soon as we think we're ready and we need to make a more substantial investment in the port to get to 270 million tonnes, of course, we'll talk to you. And clearly, the better job that we do through low- and no-cost de-bottlenecks, the higher the capital efficiency goes and the more attractive these things become. But some of them if we do good de-bottlenecks of the port may become redundant. So we'll keep you posted, but nothing more today. So questions from Melbourne? Okay, we'll keep going from the phone then.
Operator: Your next question comes from Paul McTaggart from Crédit Suisse.
Paul McTaggart: Andrew, a pretty quick and easy question. The take-or-pay contracts related to the onshore gas business, just trying to reconcile those with the petrol [indiscernible]. Did that charge go through in the fourth quarter -- well, sorry, in the fourth quarter of December or in the first bid? I'm going to presume it's happened late in your half, obviously, because petrol coal [ph] was lot lagging [ph] in that order. That be correct?
Andrew Mackenzie: Graham, did you hear the question? It was -- can we put Graham up, please?
Graham Kerr: ...second quarter, but we can get Brendan [ph] to confirm that after and circle back.
Andrew Mackenzie: Graham, you probably need to say that again because we only heard the last 3 or 4 words from you.
Graham Kerr: Okay, Andrew. I'm pretty sure that actually it occurred in the second quarter. But we can just, after this call, I'll get Brendan [ph] to circle back and confirm that.
Operator: Your next question comes from Glyn Lawcock from UBS.
Glyn Lawcock: Good morning, Andrew. Just 2 quick ones. You've said fiscal '15 CapEx will reduce, and you have previously said you think the right spend is up to 15. Can I nail you down to a more definitive target like your peers have [indiscernible] to give because, I mean, it does help us understand what sort of free cash flow generation you may have next year. And then the second quick question is, just on the productivity measures, you've done a lot in coal, strip ratios gone up in iron ore. And you -- is there any deferral capital allowing a strip ratio going on in coal? I know some of your peers are doing that to try and get unit costs down at the moment to battle the falling price.
Andrew Mackenzie: I think the simple answer to your first question is probably not, Glyn. I think we made it very clear that we think we can run this business for a long time optimally at or around current levels of CapEx, $16 billion. I've said that it would be our intention to let it drift down a bit. We'll be much more specific at the full year. I think on the answer that you -- on the question you asked on coal, we may even get you a bit more detail than I am able to provide right now. But in general, we've been working very much on the cost of running our operations rather than changing our mine plans to deliver the returns that you've seen. But we'll get you back some more detail on that because there may be some things at the margin that you might be interested to know.
Operator: Your next question comes from the line of William Morgan from Intrinsic Investment.
William Morgan: Andrew, you logically continued a comment about the long-term trend in China and about the supply response. However, with respect to iron ore, I wonder if you could please give us some color about your measure of risk of shorter-term shocks to demand, notably given solvency risks with the Chinese steel mills and the supply of capital to those mills?
Andrew Mackenzie: I can only speak broadly. There's a lot of people who look at that. I think we would say, if anything in the next quarter, probably the risks or maybe slightly to the upside, but then we take a longer-term view going further quarters out and certainly towards the end of this calendar year where the very strong growth in supply is more than enough, if you like, to create a bit of an excess in the effort to drive price lower. Now whether that's aggravated by the things you are seeing or not, I'm not sure. A lot of things go on in China at the moment that don't always eventuate in quite the same reduction in steel production that you think -- I mean, there's a lot of work that the government is doing, in some cases, using their control of the debt markets to lead to some form of restructuring of both the iron ore and the steel industry, but ultimately we think will actually improve the move towards being a middle-income economy, more competitive and more growth, and will therefore attract, in the medium-term, more iron ore from us and other suppliers outside of the country, which means that -- I don't think we're looking at big shocks, if you like. But we can have our economist talk to you a bit more if you're interested.
Operator: Your next question comes from Adrian Wood from Macquarie.
Adrian Wood: Andrew, just a couple of questions. First of all on Jansen. Could you please just give us a bit of an update on progress both in terms of just how big we are in terms of the shaft thinking and maybe perhaps a little bit of discussion around why you chose to delay drilling in what would have seemed to be the most productive drilling period of the year? But also progress on bringing in a partner. There has been some scuttlebutt coming out of Canada that perhaps your closing in on a partner negotiation. I am just wondering if you're looking at sort of customers, or whether you're looking at other product producers to bring into that? And second, just on costs. You seem to have now for the first time given a cost-cutting target for FY '14, so at least looking 6 months out. Why can we not roll that over into FY '15 and give us any guidance there as to just how low costs could go?
Andrew Mackenzie: Okay, I'll probably do them in reserve order. When I forget the first one, you can remind me. But -- I mean we're now almost 2 months into the second half of the year. I think all I'm doing is, as I said, I would at the outset is help people with them -- with extrapolation of a relatively short-term nature. We're learning how to retool the whole company and how to deal with -- and how to deliver productivity. It's much more than a costs-out program. It's about energizing everybody to do their jobs better each day, to make equipment more efficient, using our new systems and so on. As I said, and I think in response to an earlier question, I think the potential is large, and we're only beginning a lot of the things that we want to do. But I'm not really at liberty to start giving big long-range targets yet. I'd rather deliver, show you and help you a little bit with shorter-term extrapolation as I've done today. So I'm now speaking from memory. I've already forgotten. Let me a talk about Jansen first. I mean, you did mention that you said this was the right season to do more. That only really applies for things like seismic and drilling, not for sinking shafts. I mean, that's not such an issue that's seasonally dependent. So you've obviously picked up that we are taking our time through the early sections of both shafts. This is not on a critical path. We haven't even decided when we want to even add a lot more investment to create a mine there. We always said we'd kind of wait and be ready to move quickly when the market was ready, probably sometime in the next decade. We're using a bit of new technology to create these shafts, and we were a little concerned that we weren't getting it quite right in the earlier part with some of the temporary liner. It was nothing serious. So we said, let's stop, think about it, figure out how we can do it better. We've done all that, and we expect to recommence sinking the shafts within a matter of weeks, if not days, having taken stock. No real impact at all. Actually, costs will be lower because we've been moving at a slower rate. No impact on schedule. So what was the middle part of your question?
Adrian Wood: Just on the progress with potential partners that was...
Andrew Mackenzie: Yes, you asked whether we were considering customers or competitors and so on. Yes, we will consider them. We're talking to a number of players at the moment, but quite a few of them. A lot in that category there are people who would like to invest strategically alongside us in developing this operation.
Craig Campbell: Craig Campbell, Northcape Capital again. One for Graham. On the mining resource rent tax, Graham, you had a net benefit to the P&L in the -- perhaps just reported. Is that going to be repeated in this half, or is there a reversal of that, if you could give us some guidance, please?
Graham Kerr: Look, obviously, the guidance on the MRRT is always difficult because it's very much dependent on price, and iron ore price expectation and coal expectation but also on FX. I think the other challenge, obviously, is where do we end up with the MRRT. No easy actual [ph] law repealed on that. So I think at this stage, we'll give guidance when we get to the August full year results, but nothing really to add at this stage other than to say, as we said in the past, it's a volatile tax.
Operator: Your next question comes from Myles Allsop from UBS.
Myles Allsop: A couple quick questions. First of all, could you give us a sense if you expect to see some major divestments in the calendar year 2014. Obviously, you've talked about what's called, what's not called. But is it actually possible to sell assets in the current environment of the scale that would be material for BHP. Also, could you give us a sense as to what your sort of longer-term growth target is? Are you still thinking around sort of 5% growth per year for the business? And then with these favored major projects, you've kind of hinted they include Jansen, the Inner Harbour and Spence. Do they include any other projects like Cannington?
Andrew Mackenzie: Okay. So let me -- what was the first part of your question again. So, oh divestments, yes.
Unknown Analyst: Just on all major divestments please.
Andrew Mackenzie: No, it's fine. I remembered it. So well -- I mean, I think, well, there's $2.2 billion of divestment proceeds in these results, so we are able to continue in this market. I mean, clearly, you're right that some of the things that may be are last-quartile business are relatively low stands in price, and therefore, there is always a concern that we wouldn't realize their full value by taking the whole cycle into account if we try to sell things too quickly. You can see from the strength of our cash flow, we don't need the money. So we can play the long game in order to do things. But even within our portfolio, when we talked earlier about non-tier ones are, there are plenty of things that we can consider. But I have nothing further to announce today. Second question, again, just one word, remind me. Oh, growth. I'm not going to comment any further on the growth target beyond that we are on track to deliver over this year and next year a growth in copper equivalent terms of 16%. Was there anything else?
Myles Allsop: As to what [indiscernible] treated that.
Andrew Mackenzie: Sorry, Myles. Did you have anything else you wanted to ask?
Myles Allsop: Which projects do you include...
Andrew Mackenzie: Oh, projects. Yes. Well, you mentioned some of them. I mean, I presume you're talking about the relatively small possibility of an open pit on expansion at Cannington, that's not -- there are several others there, which are in there that are being considered, but we have a very strict set of criteria to move things forward and to fit in what we think is an affordable level of capital. There is others there that are in there, but I'd rather not go into too much specifics at this stage. I mean, clearly in there is our continuing development of the shale. Continuing, as we said in the talk, brownfield's expansion of our conventional oil and gas business. Some of the others you mentioned are in there for sure.
Operator: Your next question comes from Menno Sanderse from Morgan Stanley.
Menno Sanderse: Two brief ones, please. One on working capital. It was quite a significant outflow of about $1.4 billion. Just trying to get a sense if this will be reversed in the second half. And then secondly, on the US Onshore operations, it states in the release that it should be profitable in the second half. Is that on underlying operations, or there are other some one-off gains in the second half that would drive that to profit?
Andrew Mackenzie: No, no. You were on the tour, Menno, and we still expect it to be EBIT-positive for the second half, as we announced in the tour, and cash flow positive by FY '16 building into FY '20 to about $3 billion of cash per annum. I'll get Graham to answer the question on working capital. Graham?
Graham Kerr: Andrew, look, about $1.5 billion negative bearings for the half-year-on-half-year, predominantly driven by timing of payables, receivables and buildup of inventory, predominantly around Jimblebar, probably worth noting in January about $700 million of that $1.5 billion unfavorable variance reversed. So we do see a reversing.
Andrew Mackenzie: Okay, the next question from the phone.
Operator: Your next question comes from Peter Harris from JCP Investment.
Peter Harris: Just 2 questions. You mentioned potential productivity gains. Are you targeting in the medium term real cost deflation or inflation, and does that vary between your basins? I imagine it's probably more easy to achieve an iron ore versus copper, given the declining grade you're facing in South America. And also you mentioned you like copper. On Slide 27, you've got -- you talk about the refined copper market. But seems to me, people always have a look at the scrap market and as that market goes into deficit, that magically scrap appears from nowhere and fills that gap. But at the same time people have falling copper prices. So just talk about the role of scrap, and also any comments you've got on the shape of that copper scrap cost curve and the impact that might have in the long run copper price.
Andrew Mackenzie: Sure will. I expected to have you here in the room in Melbourne. We've come here to your home city and you're phoning in. Anyway, but good to hear from you, nonetheless. Then just on scrap, first of all. Of course, that acts as a bit of a buffer in the system, as you described, that clearly, if price starts to rise because of a lack of supply of primary copper from mines, often that's enough to grade more scrap. But it works the other way as well. And I think it sort of smooths some of the price variations, and we certainly handle that in our own projections in the way you described. Quickly remind me of your first question.
Peter Harris: Just on whether you're targeting real cost deflation or inflation, and do they vary between -- your primary stocks commodities?
Andrew Mackenzie: Well, we're targeting that everywhere. And I think there are, as you say, opportunities that we're still working on and expect to do more within iron ore. I wouldn't rule out copper either, despite some of the challenges you mentioned. Bear in mind that in the case of both Olympic Dam and where we currently are in Escondida, we aren't facing for the next few years any sort of great decline. But there is a variation between the basins but less driven by, if you like, the nature of the operations and more driven by the market. The way we have relatively low margins then is less attractive to retain costs to grow volume than when we have higher margins. You've seen that contrast that I've drawn in the presentation between coal and iron ore. But doesn't mean that there aren't low-cost expansions available in coal that we'll go after, and that there aren't some significant cost-out targets in iron ore that we'll go after. Of course, we'll do both. But there is an individual tailoring depending on the margins, obviously, with a slight bias towards more volume and high margins and the other way round in low margins.
Operator: Your next question comes from Andrew Hines from CBA.
Andrew Hines: A couple of questions for Graham. On the new capital allocations that are processes and being focused on -- and cannot invest returns from that capital year [ph]. Can you talk a little bit more about how you rank capital returns in terms of buying back BHP equity compared to projects? It seems to me that with the share price a lot higher rate than it was 6 months ago or even 12 months ago, we're heading back to an environment where potentially BHP is going to be doing a buyback at the top of the market, which was what happened last time. If we've got new investment in projects generating 20% plus returns, is that not going to be a better use of capital than buying back shares? And can you talk a bit about how you've changed the structure so that we don't continue to end up in environments where we end up with buyback happening when the share price is high and not when the share price is low?
Andrew Mackenzie: I mean, I think I sort of answered that earlier, but maybe Graham can give a little bit more detail, but not much.
Graham Kerr: Look, I mean, the comment I would make is, over the last 10 years, we've done buybacks in excess of $20 billion, and the buybacks as an average have had a share price of around $25. But I think, more importantly, when we look at our portfolio, if we look at all the options as I spoke to earlier and rank them on a number of different criteria, such as NPV, IRR, return on capital, how the portfolio looks cash flow at risk, but understand, a lot of those decisions are interconnected, and shares buyback certainly comes as something we consider. But as you rightly pointed out, a lot of our projects, they're located OECD basins, they're brownfield expansions that have very high returns. So we go through that constant process every year. We do our planning cycle. But the other piece is as well -- look, when we have excess cash, at that time we decide what is the right mechanism to look at returning cash back to our shareholders. So they are on different mechanisms.
Andrew Hines: Yes, in terms of that [ph], the excess cash always seems to come on top of the cycle. So in other words, the time when the BHP share price is high, is there some way that you've thought about breaking that disconnect between having the excess cash and the capital return?
Andrew Mackenzie: Can I just jump in? We're not actually at the top of the cycle. Andrew, this result that you've seen is primarily driven by our own self-help and our own productivity. It doesn't negate from the challenge you've said. But clearly, the ambitions that we have now for other performance of our company, the guidance that I've given you is happening, then we certainly don't feel that as things sit at the moment, we're finished with our productivity gains and -- or that we're operating at the top of the cycle. So that would be my only other color I would add. I don't know if you want to add to that, Graham?
Graham Kerr: No, nothing more to add, Andrew.
Andrew Mackenzie: I think we'll call it a day. Thank you very much.